Annette Court: Good morning, everyone, and thank you for joining us and dialing into the call this morning. I'm Annette Court, Chair of the company, and I'm here with Andrew Harrison, Interim Group CEO, and Max Izzard, our Group CFO. This morning, I will start by giving some headlines for the group. Max will then present the financials for the year to the 31st of August and importantly, a financial review of our North America division. Andrew and Max will then update on our divisional performance, and Andrew will close with his priorities for the near term and a summary of our guidance for the group for the full year ending 31st of August 2026. It has been a very busy year. And while the past few months have been difficult, I'm clear that this is a great business, well positioned in attractive travel markets and with exciting future prospects. During the year, we completed a significant strategic reset, disposing of our High Street and Funky Pigeon businesses, establishing our position as a pure-play travel retailer and creating a platform for long-term growth. We have a clear leadership position in Travel Essentials. Our stores are located in attractive high footfall locations across the globe, and we have a fantastic team of passionate and customer-focused colleagues. Now that we have completed our strategic reset to a pure-play travel retailer, we have reviewed the broader travel portfolio with a sharp focus on profitable growth and an enhanced focus on return on capital. In North America, we are now in the process of exiting a number of unprofitable fashion and specialty stores. We are also undertaking a store review of our U.S. InMotion business and have put in place a more rigorous approach to any future store openings with any new InMotion stores only being considered as part of the strategically important tender package. In addition, we have reviewed our Rest of the World division. Here, we will focus investments on our core strategically-important markets, exiting subscale markets and using a less capital-intensive franchise model for future openings. So we are very clear on the actions we need to take to support enhanced profitable growth as we move forward. Following the recent Deloitte review, we have acted swiftly to put in place a clear remediation plan and we're making good progress. The plan is structured around three key business objectives: to strengthen governance and controls to protect value and restore trust, to embed aligned processes and ways of working across the group supported by new systems and to sustain this through cultural change, enhanced training and monitoring. We have a clear pathway forward, and we look forward to putting this behind us. In the near term, we continue with our active search for two nonexecutive directors to strengthen the Board, with one area of focus being North America retail experience. And between Andrew and Max, I'm confident that the group is in good hands and will be well managed as we continue the search for a new Chief Executive. I will now hand over to Max.
Maxwell Leslie Izzard: Thank you, Annette, and good morning, everyone. Let me start with the financial headlines for the year ended 31st of August 2025. As usual, all the numbers I'm going to refer to today are pre-IFRS 16 and following the sale of our High Street division and Funky Pigeon business, all the results are on a continuing basis. IFRS 16 bridges can be found in the appendix. Total group revenue increased by 5% on last year to GBP 1.6 billion, and we saw like-for-like revenue growth across all divisions. As anticipated, following the review into our North America division, group headline trading profit decreased by 6% in the year to GBP 159 million. Headline profit before tax was GBP 108 million. And the group generated a headline EBITDA of GBP 187 million in the year, demonstrating the cash-generative nature of the trading business. Headline net debt at the end of the year was GBP 390 million, and I will come on to talk more about this later in the presentation. The Board has today proposed a final dividend of 6p per share, making it a full year dividend of 17.3p per share. This is in line with our stated dividend policy of 2.5x cover and reflects the continuing earnings profile of the group following the sale of our non-travel business. Turning now to the group revenue summary. Across all our divisions, we saw good momentum in the year with like-for-like revenue up 5%. And on a constant currency basis, total revenue was up 7%, reflecting good operational performance and continued growth in global passenger numbers. In the 13 weeks to the 31st of August, we saw group like-for-like revenue growth of 3%. By division, the U.K. saw like-for-like sales of 3% with reduced passenger numbers through the peak summer period and the reduced level of spend per passenger. In North America, we saw like-for-like sales at 1%. And within that number, we saw Traveler Essentials continuing to perform well at 8%, with InMotion down 7% and Resorts down 6%. Rest of the World delivered like-for-like revenue growth of 6%. And in the first 15 weeks of trading for full year '26, we have seen these sales trends continue. Group like-for-like have remained at 3% with the U.K. slowing slightly to 2%, largely reflecting a softening in Rail. North America revenue trends remained at 1% like-for-likes. And rest of the world has continued to perform well with growth of 6%. Now turning to the segmental analysis for the last financial year. Starting with the U.K. Revenue was up 5% on both a total and like-for-like basis, with a good performance across all three channels. Air was up 7% on a like-for-like basis, Hospitals were up 4% like-for-like and Rail was also up 4% like-for-like. In North America, total revenue was up 7% on a constant currency basis. The Air segment in North America was up 9% on a constant currency basis and 4% like-for-like. Within this, our Travel Essentials format, which accounts for over 50% of revenue in North America, was the key driver of performance with total revenue on a constant currency basis up 19% and up 7% on a like-for-like basis as we continue to increase our spend per passenger. InMotion like-for-like revenue was down 3% for the full year. And Resorts were down 4% like-for-like. This trend has continued in the first 15 weeks of trading with InMotion down 4% and Resorts down 7%. I will come on to talk more about our InMotion and Resorts business later in the presentation. The Rest of the World division delivered a good performance with total revenue up 12% on a constant currency basis, supported by new openings, and up 7% like-for-like. On the right of the screen, you can also see how we continue to actively transform the group with Air now accounting for more than 70% of total revenue. Following the sale of the U.K. High Street business, this also shows how the group is now more geographically diverse with the U.K. accounting for just over 50% of revenue, North America at 26% and the rest of the world at 20%. Turning now to a financial review of the North America division. In North America, we delivered headline trading profit of GBP 15 million. The bridge from the previous market expectation of GBP 55 million is here on the left side of the screen and includes a net reduction in supplier income of GBP 23 million, broadly in line with the value previously announced. This comprises a gross reduction of GBP 33 million, of which GBP 20 million is deferred to future financial years and GBP 13 million has not been delivered due to delays in signing supplier income contracts and the underdelivery of the commercial plan. Supplier income costs of GBP 3 million have also been incurred. This is offset by a GBP 13 million supplier income restatement benefit from prior years. Also, as previously announced, the expected cost savings related to the North America logistics and distribution network of GBP 5 million were not delivered. The adjusted margin for full year '25 before additional one-off inventory-related costs of GBP 12 million is 6.5%. The inventory-related items previously announced, net of restatements to the prior years, is GBP 12 million. This includes GBP 23 million of total costs identified with GBP 11 million restated to prior periods. The net inventory items for full year '25 primarily consist of an increase in the stock obsolescence provision of around GBP 5 million. The increase is driven by the aging profile of stock, a marginally worsened stock turn and a revised provision methodology, which has a more granular approach across all our product categories. There is a clear set of activities focused on narrowing product ranges and exiting aged stock for the year ahead. And secondly, an increase in the stock loss provision for the full year of around GBP 5 million. The shrinkage charge comprises known stock losses realized through stock counts and a shrinkage provision reflecting expected losses since the count to year-end. There is a focus on enhancing controls and stock management processes across the North America business also in the year ahead. In terms of prior year restatements, you can see on the right of the screen that supplier income adjustments on a net basis are GBP 13 million for full year '24 and GBP 5 million for full year '23. Approximately GBP 5 million of supplier income from these prior years will be recognized in full year '26 and beyond. Some of the inventory adjustments also relate to prior years. On a net basis, GBP 7 million recorded in full year '24 and GBP 4 million recorded in full year '23. The restated headline trading margins for the prior years are 8.5% for full year '24 and 10.5% for full year '23. In addition, over recent months, we have also reviewed the nature of one-off items included in the income statement to ensure we have a clear understanding of the normalized trading profit margin in North America. We identified a small number of one-off items, the most notable of which related to COVID rent relief benefits and COVID insurance claims received. After removing the net benefits, the normalized North America trading margin for the prior years of full year '24 and '23 is around 8%. And I will talk in more detail later about how the business will rebuild profitability in full year '26 and grow margin over time. Moving on to the group income statement. In the U.K., profit improved by 6.6% to GBP 130 million due to higher revenue, improved margins, tight cost control and given the group's overall performance, a remuneration cost reduction of GBP 3 million. As you have just heard, North America delivered a profit of GBP 15 million, and Rest of the World delivered a profit of GBP 14 million, in line with last year. Overall, then, group trading profit was GBP 159 million. Central costs are reduced year-on-year with remuneration benefits of around GBP 5 million. Tight control of this area will remain a key focus, with inflation headwinds and some group remediation-related costs expected in the year ahead. Financing costs of GBP 26 million include noncash accretion of GBP 9 million relating to the convertible bond. And this resulted in group headline profit before tax and non-underlying items of GBP 108 million. Turning now to non-underlying items. As you see on the screen, we have recognized a number of non-underlying items in the year. We have continued to invest in our multiyear IT transformation program, providing system stability, longevity and operational benefits. This program will continue for approximately 2 more years as we complete the replacement of our U.K. tilling software and the transformation of finance and supply chain systems. Costs in full year '26 are expected to be around GBP 8 million and approximately half of that in full year '27 before the program completes. We have also completed a number of operational efficiency programs to deliver cost savings and support our business performance. Across our head office and stores, we have been re-profiling our workforce and improving core processes to deliver in excess of GBP 9 million annualized benefits. The overall program will complete in full year '26 and we would expect the remaining cost for these items to be around GBP 5 million in the year. The supply chain transformation to consolidate our U.K. distribution centers is now complete. The cost of the North America review conducted to date is GBP 10 million. We expect further cost in full year '26 in the region of GBP 5 million. With regard to impairments and onerous contract charges, it largely comprises of GBP 25 million for North America and GBP 16 million for the Rest of the World, with GBP 7 million attributable to the U.K., largely related to supply chain transformation. Charges in the North America and Rest of the World operating segments have principally risen due to a lower trading outlook and profitability in certain individual stores across these regions, including our Resort stores in Las Vegas, and one particular group in the North America stores where we have seen significantly increased costs due to a new union agreement. Other non-underlying costs are expected to be around GBP 3 million to GBP 5 million in full year '26, largely related to the ongoing noncash amortization of acquired intangibles. Overall, the cash impact of non-underlying items in the year was GBP 38 million, and this includes some timing-related spend from previous periods. Turning now to the group free cash flow. There are three key points to note on the free cash flow for full year '25. First, we generated GBP 187 million of headline EBITDA in the year. Second, the underlying CapEx investment in the business was GBP 81 million and includes our new store opening program. Third, working capital was an inflow of GBP 4 million, with a one-off payables timing benefit linked to one of our large franchise partners, broadly offsetting an inventory increase relating to new store openings and the seasonality of the business. Turning now to headline net debt, which was GBP 390 million at the end of the year, comprising the convertible bond of GBP 320 million, drawdown on the RCF of GBP 141 million and cash of GBP 71 million, which gives the group a rolling 12-month to headline net debt-to-EBITDA leverage of 2.1x compared to 1.9x last year on a continuing business basis. In offset to the free cash flow, we had cash spend relating to non-underlying items of GBP 38 million. We had outflow of GBP 93 million for returns to shareholders, with GBP 43 million for the full year '24 final dividend, and full year '25 interim payment and GBP 50 million for the share buyback completed in the year. And we also had a GBP 75 million cash receipt in relation to the pension surplus following the buyout in September 2024. For our discontinued operations, we had a net outflow of GBP 25 million. This includes the cash receipts for the sale of our High Street and Funky Pigeon businesses, CapEx and trading outflows in the year before the sale and transaction-related costs. We expect headline net debt for full year '26 to be in the region of GBP 400 million. Let's now move on to capital allocation. We remain focused on maintaining an efficient balance sheet and are strengthening our disciplined approach to capital allocation. On the screen, you can see our three-pillar approach. In the near term, we aim to strengthen the balance sheet through tighter cash control and improved cash generation, diversify our debt structure and reduce our leverage position to below 2x. Secondly, investing to grow and protecting value. We will do this by investing in business development and new space growth with a clear focus on returns and protecting our business assets through store works and transformation projects. And finally, we deliver sustainable shareholder returns through our stated dividend policy of 2.5x cover for the continuing earning profile of the group following the sale of the non-travel business. As you have already heard, we have today announced that the Board is proposing a final dividend of 6p per share. And when we have surplus capital, we will look to return this to shareholders. Turning now to our refinancing. As recently announced, we have successfully completed a refinancing of the group's convertible bond, which matures in May 2026. The new financing includes GBP 200 million of USPP notes, which represent WH Smith's debut issue in the USPP market. In addition, we have GBP 120 million of 3-year bank term debt with two uncommitted 1-year extensions. To provide further financing surety for the group, we have put in place a GBP 200 million backstop facility, which runs until the USPP completes and the convertible bond is repaid. Based on the resulting new financial structure, the backstop facility and the delayed draw terms, we would expect the income statement interest charge to increase from 4.6% to 6.3% by the end of full year '27. Full year '26 interest costs expected to be in the region of GBP 33 million to GBP 35 million. Moving to our second pillar and capital allocation. In full year '25, we invested around GBP 81 million of capital into the business, which is a reduction versus the prior years, largely due to a lower number of new store openings and strong focuses on cost efficiency and building new stores, particularly in the North America division, where we are seeing tangible benefits from buying at scale and further embedding capability from our U.K. business. Looking forward, we have a clear framework and disciplined approach to our growth investments. On the right of the screen, you can see that we are prioritizing business opportunities based on their relative returns and ensuring that the group hurdles are met for each store opportunity. We still see North America as a good investment opportunity. This prioritization will lead to a more measured approach to growth, investing where we have a clear understanding of where we can deliver the greatest returns. And in our Rest of the World division, where we will focus on existing scale markets, we will talk more about this shortly. For the year ahead, we have a strong store pipeline, and we expect capital costs of around GBP 90 million in full year '26. This supports some of our largest and recent tender wins across both the U.K. and the U.S., including at Heathrow, JFK and Orlando airports. Our latest flagship stores at Heathrow will open in the spring of 2026. And while our stores at JFK and Orlando Airports won't open in the current financial year, there is a large capital outlay in developing these stores this year, ahead of them opening. These three large store development programs will account for approximately 30% of the total CapEx in full year '26. Going forward, post full year '26, we would expect CapEx to normalize back to around GBP 80 million. Moving on to store numbers and better quality space. And our priority here is to focus on improving the quality of our space to optimize profits. As a consequence of this strategy, we expect to broadly close as many stores as we open on an annual basis in the short term. During the year, we opened 78 new stores with 17 in the U.K.; 35 in North America, of which 33 were in air, demonstrating our clear focus on this channel and 26 in our Rest of the World division, of which 9 were franchised. At the same time, we closed 50 stores in the year, nearly all in line with our strategy to improve the quality of our estate, leaving us with net store openings of 28 for the year. Our current estimate for full year '26 is that we will close around 50 to 60 stores and open around 50 to 60 stores with particular reductions across our Resorts and InMotion channels in North America and stores in our Rest of World division. Moving on to capital returns on the next slide. We remain focused on strengthening our return on capital. The results of the North America business have reduced return on capital employed. And despite gains in the U.K. division, at a group level, we have seen a decline this year. Moving forward, we will drive additional capital return discipline, focusing on the strongest returns, we will rebuild our North America profitability and complete a strategic review of all of our underperforming stores. As we move forward, we would expect to deliver stronger returns on capital employed in the years ahead, and deliver a return on capital employed above 20% for the group and North America returns above our cost of capital. Moving on to the divisional priorities, where Andrew and I can share some more details on how we will start to do this. As we look ahead, we have a disciplined approach to our key priorities for each business division, underpinned by a focus on cost optimization, stronger return on capital and enhanced cash flow generation. Let me begin with our North America division, and our priorities are clear. First, we will focus on improving and investing in our core Travel Essentials business. When it comes to InMotion, we will now adopt a highly selective approach with future store openings and review of the existing store portfolio. We have also completed a strategic review of our Resorts business, where we will look to exit or reformat our unprofitable fashion and specialty stores. And alongside the remediation plan we have put in place, we're strengthening our operating model to enhance efficiency, agility and profitability across the division. The U.K., which is our largest division, continues to play a pivotal role in driving the group's performance and shaping our future growth. Here, we are focused on retaining category leadership in Travel Essentials. We will continue to expand our presence through targeted and profitable space growth, and we are actively scaling our Health & Beauty and food-to-go growth categories. In our Rest of the World division, we are sharpening our focus, and our growth strategy will be increasingly centered on a franchise model. We will limit directly-run stores to our core markets, and we will take a disciplined approach to exit subscale markets. So as we look ahead, we will be more disciplined and as a result, actively drive profits and cash returns. Let's take a closer look at our North America division. And it is important not to forget that this is the largest travel retail market in the world with significant investments and long-term structural growth trends. And we still see an opportunity here to capitalize on the growth opportunities given our small market share. And as you have heard, our priorities for this division are clear. Let's start with Travel Essentials. Our Travel Essentials business has consistently delivered a strong performance, growing 19% on a constant currency basis in full year '25, underpinned by customer demand and attractive double-digit margins. On the screen, you can see that in 2022, Travel Essentials represented 37% of the overall business. And over the past 3 years, we have grown it, and it now represents 55% of North America revenue. The Travel Essentials segment is most profitable and on a fully allocated basis, generates around 10% trading profit margin. As we scale our business and enhance our operations, we expect to grow margins further, which in turn will support the profitability of our North America business overall. Given our priority to deliver the strongest returns, we expect the proportion of Travel Essentials to increase to over 70% in the medium term. We have a strong store pipeline, which we have reviewed in light of the normalized margin levels, and we are confident that on aggregate, they meet our investment hurdle rates. We have also started the process of reviewing all our individual formats within the pipeline. Turning to the next slide. When it comes to InMotion, this brand remains highly regarded by landlords, particularly as part of tender packages where it adds value to the overall retail offering at airports. And its strong reputation gives us competitive advantage, securing attractive space within the key airports. Our InMotion portfolio is large with 123 stores. Overall, the estate is profitable, and some stores are in growth and driving a strong contribution. However, in total, this segment is in like-for-like decline. As we move forward, our approach to operating InMotion will be highly focused. First, we will limit new store openings with any new InMotion stores being considered only as part of strategically important tender packages. Where appropriate, we will also move the InMotion proposition into large marketplace stores, providing flexibility on space use over time. In parallel, we will undertake a review of the existing store portfolio. It is imperative that we improve the profitability and sales performance of this channel. As a result, our focus will include undertaking a deeper diagnostic for the estate to determine the factors that need to be in place for these stores to succeed. We expect to complete this in the first half of 2026. And once complete, we will be in a position to reshape the portfolio to improve profitability and allow us to better target where we can open new stores that pay back with strong returns. And we are focusing on our commercial proposition, reducing the number of product lines and improving availability and reducing working capital. Over time, we expect the number of InMotion stores to decline as we integrate more tech accessories into our Travel Essentials stores as well as the impact of landlord redevelopment. In the years ahead, we would expect the InMotion estate to contract by around 20% to 30% with store numbers reducing below 100 in the medium term. Despite store closures, we see an opportunity to increase the margin with our strongest margin stores retained, range optimization and strengthened operational performance. Turning to some examples of our Air business overall. Our strategy to grow in North America airports is delivering really good results. Over recent years, we've secured a mix of stand-alone stores and multi-store packages, combining our profitable Travel Essentials offer with complementary stores such as InMotion. In Kansas City, we opened an eight-store package in February 2023, including six Travel Essentials stores plus a larger format City Market and a localized Made in KC concept store. This tailored approach across the airport meets travelers' needs and drives performance, with like-for-like growth of around 6% and a current payback period tracking to around 3 years and a long-term contract in place. Our Eastern Market store in the middle of the screen opened in May 2025 and is a good example of where we have introduced a marketplace format, offering the convenience of everything under one roof, very similar to our one-stop shop strategy here in the U.K. And here, we have the flexibility to realign our category mix over the term of the lease to ensure we stay ahead of the changing trends. We expect a payback period here of less than 3 years and also with a long-term contract in place. And in Palm Springs, we have secured exclusive rights to all the retail locations in the airport. This was a significant strategic win and includes a five-store package with three Travel Essentials stores, an InMotion and a coffee shop. This localized offer is performing very well with like-for-like growth of around 9% and a current payback period of around 2 years, again, with a long-term contract in place. So as you can see, we have a clear ability to win in prime locations, adapt our formats and leverage our brands, and we are able to drive good growth with attractive returns. Turning to our resorts business in Las Vegas, and we have commenced the review evaluating the current store portfolio based on the performance and the market dynamics of each format to determine the most value-accretive path forward. There are four primary store formats that make up our resorts business. Firstly, hotel convenience, gift stores, of which we have around 20. These sell consumables and souvenirs. Second, Welcome to Las Vegas stores. We have just over 20 of these, and they primarily sell souvenirs, again, with some consumables. We see good contribution from our hotel convenience and Welcome to Las Vegas stores, where despite a decline in like-for-like revenue in the last year, we continue to benefit from attractive margins, and they each contribute cash. Third, fashion stores. These deliver around 25% of Resort sales and on a comparable basis have declined around 10% year-on-year. At an aggregated level, these stores are unprofitable and do not generate cash. And lastly, specialty stores. These sell categories such as confectionery and represent around 10% of Resort sales. Like-for-like revenue also declined 7% in full year '25, and they are marginally unprofitable. Following our review, we are now in the process of exiting a number of Resort fashion and specialty stores, particularly where the leases are short, and we are reviewing further formats and other controlled exit options where the arrangements run over the medium term. We are also reviewing where we can strengthen terms for our hotel convenience and Welcome to Las Vegas stores where traffic is in decline, and we will rationalize this estate, if required. While this will take some time, we have initiated the work and the margin and cash benefits along with growth benefits will already support our full year '26 plans. Turning to my final slide. Given this division has grown significantly over the past years, it has become complex with significant store, supplier and product range expansion. We are, therefore, focusing on refining the operating model with core business process improvements and the appropriate builds required. It is clear that this will be a multiyear piece of work, and our focus areas for the next 12 months will be on our people, our talent and investment into our end-to-end supply chain to improve the current processes and ways of working, both centrally and in stores. This will be combined with the rollout of two new regional distribution centers, one operated by GXO in New Jersey and a second in Las Vegas, operated directly as an extension of how we operate today. We will utilize these distribution centers to transform our distribution and transportation capabilities and stay ahead of the store growth. We also expect operational savings to deliver a benefit in the years ahead. So in bringing this all together in the year ahead, we are expecting total revenue growth in the region of 6% to 8%, driven largely by space. In terms of profitability, we expect to grow headline trading margin from 4% in full year '25 to around 7% or 8% in full year '26. This includes trading profit contribution in the region of GBP 5 million; the rebuild of profit, excluding the non-repeat inventory-related costs of around GBP 12 million; supplier income deferral gains of around GBP 5 million year-on-year, offset by operating model changes and remediation investment of around GBP 2 million. And as we look ahead, we will focus on the five key actions that will strengthen our business and deliver future margin gains, increasing the mix of Travel Essentials, deploying capital with discipline and investing where we see the highest returns and avoiding unnecessary expansion. Every decision will be guided by rigorous financial criteria, strengthening our operating model to improve efficiency, rationalizing the low-margin stores to sharpen our focus on profitable locations. And finally, exiting loss-making stores to ensure our portfolio is positioned for long-term success. I will now hand over to Andrew, who will take you through the rest of the presentation.
Andrew Harrison: Thank you, Max, and good morning, everyone. As some of you know, I've had the opportunity to lead our U.K. division for the past 4.5 years as we've navigated a period of important progress and transformation. This morning, I want to take you through the performance of that division, share our outlook for the year ahead and highlight the priorities that we will continue to drive future growth. From there, we'll turn to our Rest of the World division. And before closing with our guidance for full year '26 and the near-term priorities that underpin our strategy. So let's take a look at our U.K. division. This has been another good year for our U.K. business. Revenue was up 5% to GBP 834 million and headline trading profit increased by 7% to GBP 130 million. These results underline the strength of our model and the resilience of our growth strategy. And our strategy remains clear: to develop ranges and formats that are relevant to the customer at each stage of their journey, enabling them to make best use of their time and put more products into their baskets to grow spend per passenger. In food-to-go, our Smith's Family Kitchen offer has gone from strength to strength with award-winning products and expanded meal deal proposition and an enhanced hot food and coffee range that is resonating strongly with customers. In Health & Beauty, we've seen strong growth, up 20% year-on-year and sixfold growth when compared to pre-COVID levels as we scale this category across our estate. These extended ranges have enabled us to continue to innovate through format development, ensuring our one-stop shop proposition is credible to customers and landlords alike and, in turn, enhance our space through this format. During the year, we've continued to optimize the estate and review our operating model, realizing substantial cost efficiencies in the face of sustained inflationary cost pressures. We'll continue with this discipline to manage continuing cost pressures. So overall, in the U.K., we've had a good year, our third consecutive year of strong revenue and profit growth, and we've cemented our status as the leading Travel Essentials operator across our core channels. Let's now take a closer look at our Air business. Total revenue in U.K. Air was up 6%, supported by good spend per passenger growth year-on-year in Travel Essentials. We've also seen strong average transaction value growth driven by category development in Health & Beauty and food-to-go. Today, WH Smith is the leading Travel Essentials operator across U.K. airports. In the last 18 months, we secured agreements with key airports to enhance our space, including at London Heathrow, Manchester and London Stansted, amongst others. Therefore, looking ahead, this will be a year of investment. We'll execute our largest-ever store development program, rolling out our one-stop shop strategy across six more U.K. airport terminals, including at Heathrow, laying the foundations for future growth and long-term success. However, with this comes some short-term disruption as we reformat our existing stores. These new formats will deliver greater convenience for customers, and they will be central to our future growth. And we know this model works. Birmingham Airport is a great example of our strategy in action. Following its refit to the one-stop shop format in 2023, it now has the highest turnover and is the best performing store in our U.K. Air estate. With a full Health & Beauty offer, including an in-store pharmacy and everything under one roof is driving ATV growth of around 20% and sales per square foot, up over 30%. This success gives us confidence as we scale the format further. On the screen, you can see some of the renders of the flagship stores we're implementing at Heathrow in the spring. This is everything we've done in Birmingham and more. We'll become the leading airside Health & Beauty operator across Terminals 3, 4 and 5 in Heathrow with full category ranges and in-store pharmacies. And we've really raised the bar with our design and proposition. These stores will be true global flagships of our one-stop shop format. So it's a big year for our Air channel as we build on the strong partnerships we have with our landlords and strengthen our foundations for future growth. Turning now to look at our Hospital channel. Hospitals is our second largest channel in the U.K., and it delivered another strong performance this year with revenue up 7% year-on-year. This growth reflects the strength of our multi-format approach and the partnerships that we've built. We opened seven new stores and have continued to grow with our partners M&S and Costa Coffee. At the same time, we developed our own Smith's Family Kitchen cafe proposition, which gives us a great opportunity for further growth across U.K. hospitals. Our offer for NHS landlords is now truly multi-format, and this flexibility allows us to meet diverse customer needs and maximize returns for NHS trusts. Looking ahead, hospitals remain a significant opportunity for WH Smith. We have a strong pipeline of new stores to open in full year '26, and we see further potential to expand our footprint and deepen our partnerships across the estate. Now let's look at Rail. Rail delivered another solid performance this year with total revenue up 4% year-on-year. We've made significant progress with our one-stop shop strategy, opening flagship stores at Kings Cross and Charing Cross stations in London. These formats bring together Travel Essentials, food-to-go and Health & Beauty under one roof, creating a seamless experience for passengers and driving higher spend per visit. Looking ahead, we see further opportunity to expand this model across the Rail estate. Our latest store opening at London Bridge station, pictured top right showcases what's possible as we move forward, combining our Smith's Family Kitchen coffee and breakfast offer with our food-to-go, Health & Beauty and Travel Essentials offer. We've also broadened our food and beverage on-the-go ranges as we continue to evolve our retail mix to maximize customer convenience. Turning now to outlook. As we move forward, we enter this year ahead from a position of strength. We continue to benefit from structural tailwinds, including passenger growth, and we see ongoing opportunities in Air and Hospitals and across our multi-format stores and brand partnerships. There are, however, also headwinds, including a tougher consumer outlook, sustained inflationary pressure of 4% to 5% across most major cost lines and regulatory changes affecting some of our core categories. Category development and innovation remains central to our strategy, driving spend per passenger and reinforcing our leadership in Travel Essentials, as does a continued focus on costs and margin. As you've heard, the year ahead will be a year of investment as we execute our largest-ever store development program and accelerate the rollout of our one-stop shop strategy. This is a transformational step that will strengthen our estate and position us for long-term growth. While this investment will create trading disruption in the short term, and we expect some margin dilution as a result of this disruption and the cost inflation I mentioned earlier, our focus remains on disciplined capital spend and cost optimization. These actions will ensure we deliver profitable growth and build the foundations for further accelerated returns. So in summary, for the U.K., we've delivered another strong year and taken decisive steps to position WH Smith for the future. Our strategy is clear. Our foundations are strong and the opportunities ahead are significant. So now let's take a look at our Rest of the World division. On the screen, you can see our priorities for the Rest of the World division as we move forward. It's been a strong year for revenue growth. Revenue was up 12%, largely driven by new store openings. Headline trading profit was broadly flat year-on-year, with operating investments in the new store openings and gross margin headwinds driven by location mix. Looking ahead, we remain focused on growing and building scale in our core strategically-important markets, particularly in Australia, Ireland and Spain, where we've established strong brand recognition and proven commercial success. We'll focus further investment where we already have scale and expertise, ensuring we deepen our presence and strengthen profitability in the markets we know best. In prime locations, we will also look to grow our key categories such as Health & Beauty and further develop our one-stop shop format. As part of this disciplined approach, in the near term, new directly-run stores will be opened only within our existing core markets, allowing us to leverage operational synergies, local market knowledge and established infrastructure. In addition, we'll continue to actively manage our store portfolio, which will result in exiting and reducing our exposure in subscale markets as contracts expire or through active portfolio management. And the outcome of this is clear. We plan to improve EBIT margins over the medium term and deliver stronger returns. As we look at our next phase of growth, we're sharpening our focus on a franchise-led model, an area in which we already have considerable experience. This approach will allow us to expand across high-potential markets where we see opportunity to extend our presence. By working in partnership with experienced local operators, we can leverage their local expertise alongside our space and promotional management to optimize performance. This shift will take time, but it offers clear -- several clear advantages. It is less capital intensive and will, therefore, drive stronger returns. It also provides the ability to grow without adding operational complexity. In terms of near-term profitability, we expect headline trading margin to remain broadly stable at 5% in full year '26. I'll now finish by summarizing the outlook for the group for the full year 2026. So let's turn to that now. We expect group revenue growth of mid-single digits, with the U.K. delivering 3% to 5% growth; North America, 6% to 8%; and the Rest of the World division, around 4% to 6%. On headline trading profit margin, we anticipate 14% to 15% margin in the U.K., 7% to 8% margin in North America, an approximately 5% margin in the rest of the world. This reflects the different dynamics in each market, a year of investment in the U.K., a focus on rebuilding profitability in North America and strengthening our foundations internationally. Central costs are expected to be in the region of GBP 30 million to GBP 32 million and finance costs are expected in the range of GBP 33 million to GBP 35 million, largely reflecting the refinancing of our convertible bond. Bringing this all together, we're guiding to group headline profit before tax and non-underlying items in the range of GBP 100 million to GBP 115 million for the year. So now to the final slide to close. It's been a year of change and challenge. Over the past year, we've executed a strategic reset, and we're now a pure-play global travel retailer, operating in attractive travel markets across the globe. Across each division, we set clear priorities to strengthen our leadership position in global travel retail, and we're focused on execution and taking action and we will exit unprofitable stores and markets where we need to. We're also focused on discipline, tight cost control, rigorous capital allocation and attractive returns on invested capital. This discipline will underpin everything that we do, and it's how we intend to rebuild confidence and create value. Thank you for your time today, and we'll now take your questions.
Operator: [Operator Instructions] Our first question comes from Harry Gowers from JPMorgan.
Harry Gowers: First question, maybe I could just ask sort of on the U.K. profit bridge from 2025 to 2026. And if you could give any detail maybe on the moving parts around sort of underlying growth, inflationary pressures and then the reinvestment or disruption costs that you envisage? And then the second question, just again on the U.K., you talked about a bit of a tougher consumer outlook. So how are you seeing that kind of manifest itself in the U.K. estate? Like are you seeing any pressure on spend across any of the formats or categories? And then -- and third question, just on North America. Clearly, the more normalized margin going forward is going to be 7% to 8% into next year. But what is the midterm margin potential of this business off the lower base? And is it all about the mix shift towards Travel Essentials and away from InMotion and Resorts? Or what other positive margin drivers should we be thinking about?
Annette Court: I'll pass that to Max and then Andrew perhaps can comment on the consumer piece.
Maxwell Leslie Izzard: Perfect. Thanks, Harry, for the question. So in terms of U.K. profit, in terms of the key moving parts, as you'd expect, we're expecting still to see some trading upside with the revenue growth that we've got coming through, probably in the region of around GBP 6 million to GBP 8 million and that being offset by some of the disruption headwinds with the big investment that we've got going into the U.K. business this year. And then the inflation headwinds, as we've called out in the RNS, around 4% to 5% is what we're seeing across the U.K. business. And we made great strides in the last year delivering operational efficiencies into the organization, and the annualization of those cost benefits coming through in full year '26 at GBP 9 million, but that's not going to be quite enough to offset all of the inflation headwinds that we're seeing coming down the line. So the overall guidance that we've given for the U.K. in terms of profitability at 14% to 15% trading profit margin takes all of that into account. So it will see us as we kind of sit here today at the midpoint, looking at a slight step-back in terms of margin. Over the medium term, we would expect to rebuild that as we get through this year's investment and the disruption that comes. So still feeling really positive about the U.K. overall, and I'll let Andrew maybe comment on the consumer side.
Andrew Harrison: Thanks, Max. Yes, in terms of the outlook, I guess, we're sort of -- in travel, we're more insulated than most retailers when it comes to some of the customer sentiment and regulatory changes. I guess probably the one area of our business that we have seen a slight softening has been in Rail. But what I would say is, we're well versed, we deal with mix change and dealing with sort of different categories facing into certain headwinds. And it's something we deal with all the time. And I think our one-stop shop strategy gives us quite a good opportunity really to sort of play with mix and to shift into different categories. So that's kind of where we're seeing it at the moment.
Annette Court: And North America?
Maxwell Leslie Izzard: And in terms of North America, Harry, you're right, mix is going to play a big part of the North America profit journey as we step forward. So in the year that's just gone, we've got profit, trading profit margin of 4%. We're seeing that in terms of guidance for the year ahead, stepping up to 7% or 8%. As we look into the medium term, there's a number of different things, as we've started to outline today in the RNS and in the presentation, in terms of the mix change. So leaning into Travel Essentials continues to be really important for us, managing the InMotion business going forward in terms of the operational delivery that we have, but also thinking about the scale of that business with the margin sitting around the 5% mark in the future. And then the actions that we're taking on the Resorts business to remove any other loss-makers and/or the real low margin business that we have within fashion and specialty in particular. So we're not guiding specifically today on a medium-term kind of trading margin for North America, but we would certainly expect it to grow from this year, and we feel really positive that we'll be able to do that. I think as a first step, let's get this year, if you like, behind us in terms of North America, now start the delivery and the rebuild and then we can take it from there.
Operator: Our next question comes from Richard Taylor from Barclays.
Richard Taylor: I've got two questions, please. One is on CapEx and returns. You've been very clear you will be returns focused on your investments going forward. So I realize you're not going to chase contracts. But if there are good contracts out there in the U.S., do you have enough headroom in terms of investment capacity in terms of the sort of the debt-to-EBITDA you're happy to run with, albeit noting the paybacks are quite quick by the looks of it. And related to that, is your interest coupon it all affected by the sort of leverage you're running at? And so is there a level of debt-to-EBITDA you would ideally stay below? And does that have any knock-on effects for investment decisions? And secondly, I know you've talked about the profit bridge in the U.K. But can you give us some color on longer-term margin? It sounds like quite a few headwinds this year from specific items. So how should we think about that longer term versus I think, 15.6% you just reported.
Annette Court: Richard, I'll pass that over to Max, please.
Maxwell Leslie Izzard: Yes. Of course, yes. So in terms of CapEx for the year that's just gone just over GBP 80 million; in the year to come, we are putting a planning assumption of around GBP 90 million. Around half of that is going into our North America business in the year ahead. And we've got some really big and exciting opportunities. We've got, in particular, the preparation for opening of JFK and Orlando Airports in -- early in full year '27, but some of that expenditure coming through this year. Have we got specific room in terms of continued capital investment? This is a strong cash-generating business overall. We are investing back into the organization for our future growth. We are going to be very disciplined about the different areas of investment that we are making. And so making sure we're very clear about those returns. And specifically in North America, getting the right mix of Travel Essentials within any opportunity that we take. So I certainly, as I sit here today, I feel confident that we've got the headroom to be able to continue to invest with the growth that we've got still coming through. But we are going to be very disciplined and very measured in terms of the opportunities that we take for North America specifically. And I guess the interlink, therefore, with the cash outflow on CapEx into our net debt position, which is your question around, therefore, kind of financing and interest costs and where do we want to get the leverage to. As we've laid out today, bringing leverage back below 2x is our ambition for the year ahead. So that's pretty near term. And importantly, for us, we do have coupon-led kind of [ ledges ] as far as the leverage is concerned, so that does play into our overall cost of capital that we have in the business. We're not today putting out a kind of a more medium-term target. We've obviously got our 0.75 to 1.25 leverage range that still exists. But in the near term, focus on bringing it back below 2 is important for us overall and the strength of the balance sheet and the interest costs. And I'll hand over maybe to Andrew, on U.K. margins.
Andrew Harrison: Well, I'll talk about the year of investment. And I think that all ties together. I think looking forward in terms of the U.K., it really is an opportunity for -- it's our biggest store development program ever. And what that allows us to do is to take the Birmingham example, which we talked about earlier in terms of having taken a store, which through one-stop shop and through the execution of that has gone from probably #12 in our batting order of top stores to #1 on the basis of the range, the format and the fact that we can get customers to shop and put more products into their baskets so they come into our stores. The opportunity that we're really facing into this year is to do that in another six airport terminals, but also Terminals 3, 4 and 5 in Heathrow. And what we've done in Birmingham 2 years ago, we've moved on again. So this is our latest generation. And so we're really quite excited about getting that platform into place, and then that allows us then to continue to grow in terms of the different ranges that we can offer and the spend per passenger. So that's how we think we'll see the margin grow in the future.
Annette Court: Richard, does that Answer your question?
Richard Taylor: Yes.
Operator: Our next question comes from Jonathan Pritchard from Peel Hunt.
Jonathan Pritchard: The customary three, if I may. Just a follow-up on Harry's question on Travel Essentials, margin in the States. Can you just give us another level of granularity? I understand the way that the mix in the States will be affected by more Travel Essentials in the mix. But how specifically will you widen that Travel Essentials margin? That's the first question. Secondly, we've got the sort of medium-term dream for the States. We've got the medium-term dream for the U.K. Just give us the long term -- medium, long-term Rest of the World dream from a margin perspective. I get 5% for next year, but where can that go? And then a lot of people have written a lot of words on this, but what's your opinion here? What's wrong with Las Vegas? Maybe there were some structural issues with the fashion and specialty stores, but it seems as though Vegas isn't quite the wonder city it once it was. So what's your view on that?
Annette Court: Okay. Thank you, Jonathan. So I will hand over to Max initially.
Maxwell Leslie Izzard: Sure. Thanks, Jonathan. So in terms of margin for Travel Essentials, and I guess really margin for North America overall, starting with that, as you say, getting the mix into Travel Essentials is important. But then in terms of building on the Travel Essentials margin, we've got a number of different actions and activities that we are undertaking there. So we've got the operational performance that we're very much focused on with Huw and the team in North America set to kind of drive the operational performance. There's the expansion of the ranges into Health & Beauty and also bringing in tech accessories as we look to kind of adopt some of the one-stop shop setup that we have been so successful with in the U.K. And importantly, and this is probably the key driver over the next 2, 3 years, is then the scaling of that part of the business and being able to leverage the fixed cost base that we've got to support Travel Essentials overall, not just in terms of the distribution centers that we got, but the core actual operations of that business. And again, I'll kind of turn back to a couple of the exciting opportunities that we've got with JFK and Orlando Airports. Those are big businesses set to grow our overall kind of revenue and profit base quite considerably in the coming years. And so being able to leverage that fixed cost base is going to really help to drive our overall margin for that business forward as well. In terms of the medium term for Rest of World, you're right, we haven't kind of put too much out there in terms of where the medium term for Rest of World is. We've previously spoken about Rest of World heading towards kind of high single-digit margins. And I think I'd probably be still comfortable with thinking about it in that way today. But we've got quite a lot of work to do in terms of our Rest of World business. We need to embed a lot of the existing formats that we've got within Rest of World and make sure that they are operating well. And where we are focused, as we've talked about today in terms of our core markets, growing the margin in that part of the business alongside what do we think we can do in terms of franchise. I think we'll move our margin forward, but it still feels as we sit here today, that, that's more medium term rather than near term. And in terms of Las Vegas, what's wrong with Las Vegas, I don't think there's anything wrong with Las Vegas and maybe turn to Andrew on this as well. What we have identified and we're really clear about is that there are parts of Las Vegas and the operations we got there are highly profitable and cash generative, and we're really happy with the performance of those stores and for those to be part of our portfolio, we have got headwinds, and we are seeing that the overall kind of Las Vegas environment has seen a cooling over recent years. But we've also identified, we've got parts of that Las Vegas business, as you say, structurally aren't working for us, and we need to act on those and do something quite different. But Andrew, anything else on Las Vegas?
Andrew Harrison: No. I mean I think the stores you're referring to are the Welcome to Las Vegas stores and the hotel convenience stores. They're much more akin to our core Travel Essentials. There's much more of a synergy there than, say, a fashion store, for example. So what we're really talking about when you boil down our whole sort of approach, really, it's really about a real focus on Travel Essentials, and that applies equally to Las Vegas and certain categories. And it's about getting out of the things that aren't core to that.
Annette Court: Absolutely. Does that answer your question, Jonathan?
Jonathan Pritchard: Yes.
Operator: Our next question comes from Fintan Ryan from Goodbody.
Fintan Ryan: Just one question for me, please. And I think really following on from the last point around the U.S. margins. I appreciate there's a lot of things that have been revealed in the last few months. But if we were comparing to the 13% to 14% margin that maybe people had in their numbers from sort of June, July for North America versus the sort of 7% to 8% margin that you're talking to now for FY '26, can you sort of -- I appreciate you've given bridges in terms of supplier financing and inventories. But now that you've given the disclosure around the Resorts, InMotion and sort of Travel Essentials, can you sort of bridge that gap in terms of like what was previously in your numbers? InMotion, was a double-digit margin, now it's a 5% margin. And like Resorts was mid-teens, now it's under 10%. I guess just with that point as well, given you're taking a review of some of the InMotion estate and the Resorts part of the estate, is there a risk or a need to maybe review some of the contracts that you have in your sort of core Travel Essentials business and like potentially go back to landlords for rent reviews or other sort of things that might have now come out of the woodwork given the more forensic approach that you're taking to that region.
Annette Court: I'll pass that to Max, please.
Maxwell Leslie Izzard: So in terms of the U.S. margin overall, you're right, full year '23 and full year '24 margins before the restatement sitting around 13%, 14% and those after restatements coming down to kind of around 8% to 10%. And then with the normalized review that we've been doing, sitting around 8% overall. I think important to say that the impact of the supplier income review that we've done is across all categories. And so it has had an impact on each of the different parts of our business, whether it's consumables, in Travel Essentials or tech in terms of InMotion. Far less in terms of the Resorts and/or fashion stores specifically or specialty for that matter. And so it has given us further pause for thought in terms of InMotion and how we think about that business and i.e., the margin that we thought it was delivering is actually a little further behind than where we now know it to be in. So where stores might have been marginal before or low margin, it may well have moved them into a loss-making position. And so for us, overall, that is absolutely meaning that the review that we are now undertaking and the guidance that we've given on scaling back the InMotion business is the right thing for us to be doing. In terms of Travel Essentials and the consumable mix overall, there is, as I say, some impact in terms of those restatements, whether it be on kind of the inventory side or the supplier income side. But overall, still really confident with the margin in Travel Essentials at or around 10%, with the growth that I've already laid out. So I think in terms of the U.S. position overall, still strong. Is it giving us pause for thought on some travel essentials? And are we working with landlords? Absolutely. You would expect us to do that anyway as we continue to be focused on driving the right profitability for North America. Reviewing our pipeline actually is also a key part of that. And making sure -- I think, we've got around 70 stores in the pipeline now for North America with more than half of those to open this year. So pipeline review in aggregate actually is within our hurdle rates, even on the adjusted position, so we still feel really positive about that. But again, there will be elements within that, that we might want to take a look at and think about how do we maybe change the formats or maybe operate them slightly differently and/or engage with our landlords in a different way moving forward too.
Operator: Our next question comes from Tim Barrett from Deutsche Numis.
Timothy Barrett: I just wanted to start with a big picture question really in terms of the 4% to 5% cost inflation you're talking about in the U.K. It feels a bit higher than I might have guessed. What are the main contributors to that? And do you think you can pass much of it on through price in the year ahead? And I think just secondly, a procedural thing really, how long do you think the FCA investigation will take? And have you put anything in terms of any outcome of that in your net debt guidance?
Annette Court: Okay. So I'll take the FCA question and then pass to Andrew. Tim, so yes, as you say, the FCA have now launched an investigation to the company. We were notified by them yesterday. So as you would expect, we will fully cooperate. We expect this would take quite some time, and there's really nothing further that we can say at this stage with regard to the costs associated. And obviously, we'll keep you updated as things progress.
Andrew Harrison: Tim, I'll take the question on the big picture on cost. Yes, I mean, I think the cost inflation we're seeing across a wide range of areas, whether that's staff costs, whether that's cost prices and even landlord costs as well. So -- but we're used to this. It's something that we deal with all the time. We're a lean business, and we're very much focused on how we drive operational efficiencies and that kind of thing. In the last year, we drove GBP 10 million worth of efficiency through the business, and that was looking at our -- looking through our store lens, but also our support centers and our distribution centers, and we'll continue to do that. And of course, I guess there is the opportunity to reflect things in price, but we always look to try to deal with these kind of things through operational efficiencies and being agile in the way we operate our business as we always have done.
Timothy Barrett: Okay. And sorry, just a boring follow-up, business rates. Is there much inflation there following the budget? How does that work actually in airports?
Andrew Harrison: Yes. So I mean, airports are over half of our business. And those contracts in airports are concessions. So therefore, it's the airport that plays the business rates, not us. So we're not as exposed as many other businesses to business rates. And so from that perspective, alongside the other areas of cost, it's manageable.
Operator: Our next question comes from Hai Huynh from UBS.
Hai Huynh: I have a couple of questions, please. First of all, on the like-for-like. So in North America, so in current trading, it's around 1%. Could you walk me through how you're building up to the 6% to 8% total growth guidance in North America, given that you're also doing a portfolio review there, right, opening 35 to 40 stores, but closing 30 stores. So that's the first question. The second one is on the U.K. Also a similar kind of question where like-for-like is 2% year-to-date. How do you get to 3% to 5% growth given there will be trading disruptions from portfolio review as well? And actually, on that, on the U.K., are you also seeing a softening in terms of airports besides the U.K. rail softening?
Annette Court: I'll pass the first one to Max and then to Andrew for the U.K.
Maxwell Leslie Izzard: Hai, so the overall position for North America, as you say, with like-for-like is currently around 1%. Largely, the growth in North America from a revenue perspective will come from a net space gain. We do have closures in the year, and that includes some of the things that we are talking about here today in terms of Resorts and so on. but space still growing overall and contributing well this year in terms of Travel Essentials growth. So the position that we've outlined in terms of revenue of 6% or 8% for North America is on a net basis. So if we were to be in a position to accelerate some of the closures that we want to do, that's something we would probably need to come back and update you on, I expect, around the half year. But as we sit here today, 6% to 8%, largely driven by space with some like-for-like growth, not dissimilar to where we're currently tracking, 1% to 2%.
Andrew Harrison: Hai, I'll take the softening question in Air a bit first, and I'll go to outlook. So softening in Air, basically, what we're seeing here is that we're continuing to grow spend per passenger. We're continuing to grow sales ahead of passengers. Really what we have seen in Air though is that it's just a return of passenger growth to more normalized levels. So for example, in the last quarter, passengers have been growing at 2%, if I go back a year, that would have been growing 7% year-on-year. And if we go back 2 years, that would have been growing 15% year-on-year. So you can see a return to normalized levels of passenger growth. And it's important to stress, this isn't normalized levels of passengers, it's normalized levels of passenger growth. We're still growing, but just at the longer-term rate. And within that, we're still growing spend per passenger. In terms of the outlook for the year, how we get there is a mixture of all of those things. Clearly, we've got -- we've got the spend per passenger and passenger that I just talked about. We've got that sort of relationship. We've got the new stores. And as I mentioned in the spring, we've got new flagship stores opening in Heathrow, which will clearly have a big effect for the second half of the year. And clearly, offsetting some of that, we've got the disruption. So broadly, that's how you bridge, and you get to the 3% to 5% outlook from where we are at the moment.
Hai Huynh: Understood. And sorry, just to follow up with the last one in terms of -- so this year, it looks like elevated closures as you go to portfolio review and moving to franchise model in Rest of the World. But how do you see the medium-term store opening target going forward?
Maxwell Leslie Izzard: For the group or...
Andrew Harrison: The Rest of the World, I think, was the question.
Annette Court: Was it for the group or for...
Hai Huynh: As in just -- for the group overall, yes.
Annette Court: Okay.
Andrew Harrison: I'm happy to take that. So I think what we've outlined today, and I think it's about it's about driving profitable growth. And I think one of the words that Max uses internally is about being measured and being disciplined, and that's exactly what we do. What has made our business successful has been being really, really focused on the use of our space and being forensic about how we use our space. And that's what we -- that's the yardstick we're applying to all of our investment decisions. What that means is, therefore, we're targeting better and better -- more and better-quality space rather than trying to drive store openings as a number in its own right. So that's really the thing that's driving us and not being sort of hamstrung by trying to deliver perhaps a stores number that we've had out in the market. So I don't know if that -- does that answer all of your question, Hai? Is there anything else in there that I can help you with?
Hai Huynh: That's it.
Operator: Our next question comes from Nicholas Barker from BNP Paribas.
Nicholas Barker: Just for a little bit of a clarification one. So you've explained how you can widen the North American Travel Essentials margin from around that 10%. Will that ever reach the kind of 14%, 15% margins seen in the U.K.? And if so, why not? And if so, how quickly could that happen? And then my second question would just be on the CEO recruitment process. How is that going? And is there any update there?
Annette Court: If -- I'll take the CEO one and then we'll pass on to margin. So Nicolas, so as you said, we've got a process ongoing using an external search firm. I think it's important to say that, obviously, we're looking for somebody that's got retail experience, is an agent for change and has a strong track record, including turnaround capability. We're in the process of -- there's nothing further to update on other than to say that we are actively -- or I am actively working on this.
Maxwell Leslie Izzard: Shall I take margin for North America?
Annette Court: Yes, please.
Maxwell Leslie Izzard: I think what we've put out today is a very clear margin position for the year ahead. I think I can be really confident to say that we will be building from here in North America and the Travel Essentials business will be the mix lean that enables us to do that. We're really confident still with the North America operation and the opportunity that we still see there in terms of our future growth. What we're not going to be kind of drawn on, if you like, today is where do we see the margin in the future. But we absolutely see that there's future margin build and future margin gain to be had. And so we're still excited about the market. We still believe in it. But you're not going to be drawn necessarily on the margin for the long term.
Operator: This concludes our Q&A session. So I'll hand back over to Annette for closing remarks.
Annette Court: Thank you. Thanks for dialing in, everyone. It's been good to talk to you this morning. I hope you'll see that we're taking affirmative actions and that we're moving forward with transparency. And as I said at the start of the presentation, I have every confidence in Andrew and Max to lead the group over the months ahead. So thank you, and happy Christmas.
Maxwell Leslie Izzard: Thanks very much.
Andrew Harrison: Thank you.